Operator: Good morning, my name is Samuel, and I would be you conference operator today. At this time I would like to welcome everyone, to the Cementos Argos Fourth Quarter 2017 Results Conference Call. Before beginning the presentation, it is important to note that certain forward-looking statements and information during the call are related to Cementos Argos S.A. and its subsidiaries, which are based on the knowledge of current facts, expectations, circumstances and assumptions of future events. Various factors may cause Argos' actual future results, performance or accomplishments to differ from those expressed or assumed herein. If an unexpected situation presents itself or if any of the premises or of the company’s estimations turn out to be incorrect, future results may differ significantly from the ones that are mentioned herein. The forward-looking statements are made to date, and Argos does not assume any obligation to update certain statements in the future as a result of new information, future events or any other factors. At this time, I will like to turn the call over to Mrs. Manuela Ramirez, Investor Relations, Managing Director of Cementos Argos. Please proceed, Mrs. Ramirez.
Manuela Ramirez: Thank you. Good morning, and thank you for joining us for the Cementos Argos Fourth Quarter Results. On the call today are Juan Esteban Calle, our CEO; Carlos Yusty, our CFO; Rafael Olivella, the VP of Legal Affairs; Eric Flesch, the VP of the U.S. Division; and Tomas Restrepo, the VP of Colombia. We have posted English and Spanish versions of the presentations and reports at www.argos.com/ir. We will upload the conference in audio format to our website. It is now my pleasure to turn the call over to Mr. Calle.
Juan Esteban Calle: Thank you, Manuela, and good morning, everyone. We continue the execution of our strategy during the fourth quarter of 2017. It was a challenging year, particularly in Colombia, where we took all the necessary actions to improve our competitiveness and preserve the long-term sustainability of the business. We finished the year with a more competitive cost structure, a lighter asset base, a leaner organization and a renewed focus on our clients. We were successful executing the divestment strategy envisioned after the acquisition of the now fully integrated assets in Martinsburg. We completed on New Year’s Eve the sale of our block business in the U.S. for $50 million. We had acquired these assets in 2014 as part of the transaction with Vulcan in Florida. This operation reflects our commitment to earlier to divest all non-core, non-operating assets to fully concentrate our efforts on improving the profitability and the return on capital employed in our cement, ready-mix and aggregate business. In Colombia, we are well advanced in the sale of the first 30 megawatts of self-generation powered assets. We expect to conclude this process during the first semester of this year, while securing an adequate and competitive supply of energy for our operations. The results of the fourth quarter were impacted by non-recurring items. On the one hand, the divestment of the block business generated an extraordinary profit of $17 million, positively affecting EBITDA and net income. On the other hand, the tax reform in the U.S., which will bring very positive effects in the performance of the U.S. economy, our industry and our businesses going forward, generated a one-time non-recurring impairment of $34 million, negatively impacting our net income. These charge was related to the adjustment of our tax losses carried forward, given the reduction of the corporate tax rate from 35% to 21%. Finally, we were notified by the Superintendence of Industry and Commerce of Colombia about its decision to fine Cementos Argos and 2 other cement companies for an alleged involvement in conscious price parallelism during the period 2010-2012. In our case, the fine was set at approximately $25 million. The same Superintendence discharged the allegations made against the company for our supposed participation in market collusion and unjust pricing during the same period. We have appealed the decision, and we’ll exhaust all the legal instances to illustrate our good conduct throughout our 84-year history. We are hoping for a positive outcome in the appeal process, and we’ll keep you informed of any relevant developments. Up today, we have not recorded in our financial statements any provisions regarding this process. On Slide 5, I will comment on our consolidated results for the last quarter of 2017. Our well-diversified operation and the significant efforts we made in efficiency allow us to partially offset the impact of the challenging dynamic in the Colombian market. Revenues during the quarter reached COP 2.1 trillion, increasing 5.1% when compared to the fourth quarter of 2016. SG&A, excluding depreciation, decreased 4.5% through the same period. Adjusted EBITDA, excluding severance payments derived from BEST was COP 325 billion with a reduction of 5.6% year-over-year. At the bottom line, the net losses for the quarter and for the full year were driven by lower profits in Colombia, the impact of the hurricanes over the U.S. and the Caribbean operations during the third quarter, the non-recurring items related to BEST and the non-cash that’s expected from tax reform in the U.S. On Slide 6, our total cement dispatches reached 4 million tons, increasing a strong 17.6% when compared with the fourth quarter of 2016. Growth was driven by the performance of the U.S. and the Caribbean and Central American operations. Our ready-mix dispatch posted a 3.9% decrease due to lower volume in Texas and Colombia, which will be explained during the call. Let’s move on now to Slide 8 to discuss our results in the U.S. Bear in mind that the EBITDA for the quarter included a non-recurring income derived from the sale of the block business mentioned before. During the quarter, our cement business reported solid results with an increasing dispatches of 52% and 20%, excluding Martinsburg, well above the 4.7% growth of the market quarter to date and in November. The strong figures were positively impacted by a pent-up demand after the hurricanes and the performance of our operations in the Carolinas and the southern states. Our ready-mix volumes decreased by 1.6%, explained mainly by this still low business cycle in the Houston market as discussed in our previous call, is still affected by the oil price shock. In this market, however, we see attractive growth prospect for the coming years due to the ongoing reconstruction plan of $13 billion allocated by the federal government after Hurricane Harvey. Our revenues reached $379 million, increasing 12.4% when compared to fourth quarter 2016, and EBITDA was $69 million, including the non-recurring $17 million derived from the sale of the block business. Excluding these effects, the EBITDA growth was close to 18%, driven by the acquisition of Martinsburg and the performance of the cement business, which benefited from the strong demand related to the start of reconstruction programs after the hurricanes. For 2018, we will accelerate implementation of BEST in the U.S. We have a privileged and interconnected footprint built through acquisitions, which still has a lot of room for capturing synergies and efficiencies, especially in the ready-mix segment, where we are concentrating in large metropolitan areas and have opportunities to optimize in fuel consumption and maintenance. Considering these, our EBITDA guidance for this region in 2018, is around $270 million to $280 million. Moving on to Slide 9, I will review the fundamentals of the U.S. market, where the recovery of the construction sector and the growth of cement demand have been driven by the residential market. All leading indicators continue showing the good health of this segment of the market. For the year 2017, sales grew 1.1% to 5.5 million units, the highest level since 2006. Inventories of homes for sale fell 10% to 1.5 million units, and the median sales price rose 5.8%. At the current sales – pace, inventory would be exhausted in 3.2 months. Additionally, we are starting to see positive signals in the infrastructure, with a recovery of more than 900 basis points in public construction spending in the second half of 2017. There was also an upside in the national backlog of projects published by the Associated Builders and Contractors, which through October, it hit maximum levels since 2009 and more importantly, presented a 25% growth quarter-over-quarter in these southern states. All this positive indicators allow us to confirm our optimistic outlook for the U.S. market, with tailwinds in the residential sector and plenty of opportunities in infrastructure. Additionally, in the recently approved tax reform, it is expected to boost economic growth, benefiting employment and propelling investment in the U.S. increasing cement demand, corporate profits and cash flow generation for our operations. Moving on to Slide 11, I will discuss our results in Colombia. Given a challenging 2017, we were able to bring inventory business in Colombia. We ended the year with a more efficient network of assets and a leaner portfolio and plant structure, achieving significant progress in terms of competitiveness as measured by the notorious reduction of close to $12 in our cash cost per ton. We also improved our go-to-market strategy through a more comprehensive segmentation of our value proposition and a focus on EBITDA share. As a result of this strategy and the price increases of last July and October, Colombia reported an adjusted EBITDA of COP 115 billion, excluding non-recurring expenses of COP 6 billion related to BEST. The adjusted EBITDA margin was 21.2%, the highest quarterly margin during the year. Regarding dispatches, the cement volumes decreased by 1.3% versus the fourth quarter of 2016 compared with the 4.6% reduction of the industry. As the market leader, we are executing a price recover strategy that may temporarily affect our market share if demand continues its slow pace. In the ready-mix business, our volumes decreased by 9.8% in a market which reported a 9.2% reduction for rate until November. The slowdown was explained by a reduction in demand from the upper segments of the housing market, which was somewhat offset by a 4% increase in civil works. We have seen an increase in dispatches to 4G projects. Volumes reached 25,000 tons during the quarter and 85,000 tons for the full year. We expect volumes to continue growing going forward. We are currently delivering cement and ready-mix to projects, such as Cartagena-Barranquilla, Honda-Puerto Salgar and the three Pacifico projects. On Slide 12, I will comment on the outlook for the Colombian market, where we expect a moderate recovery in volumes in 2018, driven by a better dynamic infrastructure and the lowest mortgage rates in record, which will help to stabilize the housing market. In the 4G program, where we are the leaders with a 70% market share, we expect to dispatch between 200,000 to 300,000 tons in 2018, with peak volumes between 2019 and 2020. We also expect an increasing infrastructure investment at the regional and local level. For instance, the city of Bogota increased its 2018 budget for transportation to COP 6 trillion, 66% more than in 2017. These investments are made to prepare the city for the construction of the Metro, which has already secured financing and is expected to start the bidding process in May 2018. Additionally, the recently approved infrastructure law is positive for this sector, simplifying the contracting process and giving more guarantees to creditors. We are starting to observe more activity in terms of financing closings, including the recent use of subordinates of around COP 2 trillion to [Indiscernible] 4G project. Finally, in the residential market, we are seeing an increase in sold and a slowdown in inventory rotation in the upper segments of the market, such as Bogota and Medellin. The social housing segment is still performing well as a result of the success of the subsidies granted by the government. Going forward, we expect the historically low mortgage rates, now below 10%, and the ornamental problem in boosting the performance of the middle class housing segment to drive the recovery of the residential market in the second half of 2018. Last week, the government announced an additional COP 1.2 trillion of interest rates subsidies, which will benefit 70,000 families, purchasing housing units of between COP 106 million and COP 340 million. On Slide 14, we will analyze the results for the Caribbean and Central America. Our cement volumes in the local market experienced a 14.9% growth, driven by strong demand in Honduras, notwithstanding the adverse impact of the contested presidential election in that country, which almost paralyzed the economy during the month of December. On the ready-mix business, our volume was very similar with the ones observed in the fourth quarter of 2016. Panama was the best performer, with a 7% growth. Our revenues in the region reached $144 million, increasing 12%. EBITDA is not fully comparable due to a $21 million of extraordinary income recorded in Panama at the end of 2016 from the sale of real estate assets. The EBITDA margin of 24.5% reported by this region in the fourth quarter of 2017, reflects a 12-day maintenance halt in the commercial work count in Honduras, the challenging market conditions in that country after the presidential election during the month of December and the impact of Hurricane Maria in Puerto Rico and Eastern Caribbean. On the next slide, I will discuss the main drivers in our core markets for the Caribbean and Central America. Panama continues showing healthy fundamentals and a robust fiscal situation. We maintain a positive outlook and expect a boost in demand from the construction of infrastructure during 2018. We have an attractive pipeline of projects being contracted, including the fourth bridge over the canal, the extension of the highway Panama, Arraijan, and the third metro line. In Honduras, we expect the political situation to stabilize after the recent inauguration of President Hernandez. There will be opportunities derived from infrastructure and housing programs as the 2020 plan targets to reduced the gap of one million housing units required over the next 20 years. On Slide 17, I will discuss our debt structure and leverage ratios. At the end of 2017, our reported net debt to EBITDA plus dividends ratio was 4.6 times. It was above our target level due to a lower EBITDA in Columbia and the relating closing of the sale of the self-generation power plants in Colombia, which was scheduled to be completed in December and was moved to the first semester of 2018. The leverage ratio calculated for our covenant with financial institution resulted in 4.3 times as the formula excludes some leasings and non-cash items. I would like to emphasize that we have an adequate debt profile, and we are taking all the necessary actions to regain financial flexibility and reduce leverage. During 2017, we extended our average debt maturity about 18 months to 4.9 years after the successful COP 1 trillion in nominated bond placement in Colombia. At the end of the year, 56% of our debt was denominated in dollars and 44% in pesos, matching our cash flow generation. We are committed to reducing leverage to levels between 3.5 to 3.6 times by year’s end. We will continue divesting non-core and non-operating assets; to using capital expenditures, including maintenance, to around $150 million to $170 million for 2018; and optimizing working capital to eliminate close to $50 million, mainly by shortening the receivables to normal in the U.S. We will also continue the execution of BEST in Colombia, the U.S. and Honduras to capture efficiencies and improve the competitiveness of our footprint, with the goal of maximizing the return on capital employed. Going forward, for 2018, we have a positive outlook at all of our markets, with an EBITDA guidance of between COP 1.8 trillion and COP 1.9 trillion. The main drivers of this guidance are the strong fundamentals and further potential recovery of construction in the U.S. with cement consumption, prices and utilization rates are still below the predicted levels and the stabilization of prices in Colombia. We expect that 2018 will be a recovery year for the Colombian economy, with low interest rates and the expected acceleration of construction of 4G projects should lead to a more increase in demand and prices. We increased prices the first week of January by around 5% in Colombia. In the Caribbean, we expect the stability across our operations. To conclude the call, we released yesterday the dividend distribution proposal to be voted in our general assembly, the next 16th of March. The proposal includes a dividend per share of COP 228 to be paid during 2018. This dividend level is similar to the ordinary dividend paid in 2017, adjusted by inflation and is consistent with the long-term prospects of our business. Now I would like to thank you for your time today and welcome all your questions. Operator, we may open the line now for questions.
Operator: [Operator Instructions] And your first question comes from the line of Andres Soto from Santander. 
Andres Soto: Thank you once again for the presentation and congratulation on your efficiency efforts. My question is regarding your guidance. I would like to understand a little bit better the assumptions that you are using for providing your EBITDA guidance for 2018. First, regarding Colombia, you mentioned that you expect single digit – low single-digit growth for volumes, can we assume that, that’s the same type of growth that you are forecasting for the entire year in terms of revenue? My – the number that I get for the total revenue growth this year is around 5% in order to reach your guidance, so I would like to confirm first if that’s consistent with what you are expecting.
Juan Esteban Calle: Hi, Andres, thanks for your question. And in Colombia, we’re expecting low single-digit growth in demand between 1% and 2% for the year, basically, coming from our leadership in 4G projects. And prices will be a little bit better than last year, so a 5% increase in revenues is our assumption.
Andres Soto: So 5% in average prices? Or 5%, December to December?
Juan Esteban Calle: 5% on average price.
Andres Soto: Perfect. Thank you, very much. And regarding your guidance in the U.S., I was a little bit surprised by the number. I was expecting a little bit higher, given your efficiency efforts. So what is driving this guidance? Is a more modest outlook in terms of price increases or a slowdown in cement and ready-mixed volumes?
Juan Esteban Calle: In the U.S., we don’t have yet the potential impact of the deployment of BEST there in the – in that region. So these realities that we are assuming the business as it is, with the recovery coming from the margins of the onboardings of the ready-mix business.
Andres Soto: So we can assume that you are expecting a mid-single-digit volume growth for your products?
Juan Esteban Calle: We are expecting, yes, mid-single-digit growth for our volumes throughout cement and a little bit high single-digit growth for our ready mix business in the U.S.
Andres Soto: And relatively stable prices? Or are you assuming some price improvement this year?
Juan Esteban Calle: We are foreseeing a price improvement, price increases in the low single digits as well.
Andres Soto: Perfect. Thank you, very much.
Juan Esteban Calle: Thank you, Andres.
Operator: Next question from the line of Alejandra Obregon from Morgan Stanley.
Alejandra Obregon: Hi, good morning. And thank you for call. I have a quick question on the U.S. and perhaps if you could tell us a little bit about pricing trends. Because it seems there could be discounting in the quarter. At first glance, we look at pricing that looks to be down on a year-on-year basis. So perhaps if you could give us any color on these and if we are right in our numbers and what could be driving this. And then if you could also talk about the volume trends mainly in the South. It seems Houston is showing slow dynamics. So maybe we could talk about whether this is related to the overall demand or is it competition related and market share related, please? This could be very helpful. Thank you.
Juan Esteban Calle: Thank you, Alejandra. In the U.S., we are confident that the price increases will stick. And last quarter, we had some important wholesale volumes. So that is why probably you see the price dynamic that you saw last quarter but in reality, with a strong demand in all of our states and good price power. Eric Flesch, our Vice President who is with us today in the call, will give you a little bit more color about the prospects of the U.S. market this coming year.
Alejandra Obregon: Okay. Thank you, very much.
Eric Flesch: Good morning, Alejandra. Just to mention first, we are start for Texas and mainly Houston. Houston, we had a very bad second half year during last year, mainly due to weather and Harvey. So that had a huge impact in the operation in Houston. Also, the oil and gas situation affected the market in Houston. But Harvey for 2018, what we are foreseeing is now the opposite impact, a very – which means now, the permits right now are just increasing more than average for the recovery of the city of Houston. So we are so foreseeing a good growth for 2018 for that market. Regarding the cement price for 2018, we foresee something around a 4% price increase for 2018. The reason, the last quarter of 2017, maybe you could see a slight decline in prices, it’s more, let’s say, the season. In November and December, mainly in the Northeast for the area of our plant Martinsburg, we had snow, we had low temperatures, and then Florida was better in terms of volume and prices in Florida are a little lower than in Northeast. So that the average just changed a little, but overall, we had a very good behavior of prices along the year 2017.
Alejandra Obregon: Okay. Thank you, very much. And perhaps a follow-up on your BEST program, we’re very encouraged about the results that we’ve seen so far. So I was wondering if you could give us some color and any potential decisions that you have in the pipeline for 2018. You were talking about fuel consumption in the U.S. but perhaps if you can elaborate there and tell us if there is something else that we should expect in Colombia as well as for 2018 in efficiencies. Thank you.
Juan Esteban Calle: Thank you, Alejandra. We are extremely proud of – with the deployment of BEST in Colombia, and we will continue securing the program in Colombia in 2018. We are also committed to bringing BEST to the U.S. and to Honduras, but we’re not providing yet any guidance in terms of the optimization that we can capture in the U.S. and Honduras. But in our opinion, it will be much easier, and it will be significant.
Alejandra Obregon: Thank you, very much. This is very helpful. 
Operator: Next question from the line of Gordon Lee from BTG.
Gordon Lee: Hi, good morning. Thank you very much for the call. A couple of questions, one on Columbia and on the U.S. In Colombia, you mentioned that the market was slightly down and that you lost a little bit of share. If you look at what your largest competitor reported last week, they were looking at an 8% volume drop in the quarter, and from what we can gather, import market share continue to fall as well. So I was wondering if you could maybe give us some color on the competitive dynamics because it seems like a very small piece of the market actually delivered a significant amount of the growth this quarter just given those different components of market shares. And then on the U.S, I was wondering if you could confirm that the COP 70 million gain on the disposal assets was included in the EBITDA. And if so, it would look like the EBITDA margin adjusting for that was around 13% or 14%, which seemed a little low relative to the recent trends that we have been seeing. I was wondering if there was anything may be with regards to energy or something that would have driven that on the cost side in the U.S. Thank you.
Juan Esteban Calle: In Colombia, we continue seeing positive signs in terms of the increasing imports. In our calculation, imports decreased there more or less 25% year-over-year in equivalent cement, and I think we are not seeing any large import in cement for general use anymore. So that is positive, and we think that, that trend will continue in 2018. Demand was slow last quarter, so that is why when – in our case, we are leading the price recovery of the market, we’ve lost some market share. But in our opinion that is temporary, and the price recovery is important for the health long-term of the market. In the U.S., the $70 million was included in the EBITDA. Our results in the U.S. were a little bit below what we expected because of the performance of the ready-mix business, specifically the lower volumes in Houston. But we already took all the necessary measures to correct that challenging Texas, and we are expecting much better results in 2018.
Gordon Lee: Perfect. Thank you. And if I could just have one follow-up just to confirm, the – you didn’t recognize any charges associated with the ruling on the price-fixing issue in Colombia, right? Your Colombian number reported did not reflect.
Juan Esteban Calle: No, we did not.
Gordon Lee: Right. Thank you, very much.
Juan Esteban Calle: Thank you.
Operator: Next question, Juliana Aguilar from Bancolombia.
Juliana Aguilar: Hi, good morning. I have two questions. My first one is on the Caribbean region, specifically in Honduras and Puerto Rico. Should we expect results in these countries to continue to be affected during first quarter 2018? And my second question is on your EBITDA guidance, out of the COP 1.8 trillion to COP 1.9 trillion expected for this year, approximately how much is expected to come from divestments? Thank you.
Juan Esteban Calle: Thank you, Juliana. The Honduras and Puerto Rico markets have fully recovered in January. In December and November, we suffer the consequence of the hurricanes in Puerto Rico and the Eastern Caribbean markets. And in Honduras, the December volumes were well below budget because of the elections in Honduras that paralyzed basically the market and the economy for the whole month. But the good news is that both markets have fully recovered already.
Juliana Aguilar: Great. Thank you. And on the EBITDA guidance, if you could share how much approximately is expected to come from divestments?
Juan Esteban Calle: It is between $30 million and $40 million will come from divestments in our guidance.
Juliana Aguilar: Perfect. Thank you.
Juan Esteban Calle: Thank you.
Operator: Next question, Francisco Suarez from Scotiabank.
Francisco Suarez: Hi, good morning. Thank you for the call. Congratulations on the major recovery in margins in Colombia, it was amazing. And in talking about that in Colombia, do you think that more closures can occur in Colombia on any of your plants, some of the smaller plants? Is that a possibility for 2018 or 2019?
Juan Esteban Calle: Francisco, we are reviewing all of our options. And the reality is that we still have some work on old plants running, so the reality is that we don’t foresee to have those plants running in the midterm.
Francisco Suarez: Yes, make sense. Okay. Also, on the United States, if possible, the – do you see that the opening up of the Ravena expansion from LafargeHolcim and the potential more aggressive strategy from McInnis might actually keep prices relatively low in the Northeast?
Juan Esteban Calle: The reality is that we are taking a closer look at McInnes, but so far, I mean, we don’t foresee any significant impact in our markets. Eric Flesch could add a little bit of color to that question, Paco. 
Francisco Suarez: Thank you.
Eric Flesch: Paco, as what Juan Esteban was mentioning, we are of course tracking McInnes and what those – the company are shipping to the United States. Also, the Marina plant in the Northeast, in the area of New York, and frankly, we don’t foresee any negative effect in our market. Our market is growing nicely, smoothly and then whatever additional volumes are just, let’s say, thinning the market. So we see full projections for this year. So we don’t see any big risk on that.
Francisco Suarez: Good, thank you for that follow-up.
Juan Esteban Calle: Congrats again.
Operator: Next question Carlos Rodriguez from Ultraserfinco.
Carlos Rodriguez: Good morning, gentlemen. And thank you for the conference call. Just a follow-up regarding the EBITDA guidance that you gave from COP 1.8 million to COP 1.9 million. I would like to know if divestments will be only focused in Colombia? Or if the guidance in the U.S. of $270 million, $280 million include some of that? Thank you.
Juan Esteban Calle: We just included the divestment of the self-generation power plants in Colombia and in our guidance, but the reality is that we will look for more non-operating, non-strategic assets to divest in 2018, and it will encompass all the regions.
Carlos Rodriguez: Okay. Thank you very much. From the questions just in the prices in Colombia, and just – I would like to know some color in the mid and long-term, current prices are just quite low compared to previous years. And when you see the upcoming years with new capacity of Mullins and also the granular from LafargeHolcim, do you think that these prices are the new normal that we are going to see from the next 4 or 5 years? Or do you expect some recovery a little bit higher even next year?
Juan Esteban Calle: We need demand to start picking up a little bit to see better prices, but the reality is that we are making all the necessary adjustments to compete at this current price. We expect better prices going forward.
Carlos Rodriguez: Okay. Thank you very much.
Operator: Next question, Steffania Mosquera from CrediCorp Capital.
Steffania Mosquera: Good morning. And thank you very much for the presentation. I was just looking at your 4G guidance, and you have an estimate of 200 to 300 tons for 2018. And you state that the largest demands are expected in 2019 and 2020. What is your estimate of demand for those years?
Juan Esteban Calle: For this year, we are seeing between 200,000 and 300,000 tons. 2019 and 2020, in excess of 500,000 tons per year. That is our expectation.
Steffania Mosquera: Okay, sir thank you very much.
Juan Esteban Calle: Thank you. Steffania.
Operator: Next question, Alejandro Lavin from Citibank.
Alejandro Lavin: Hi, good morning. Thank you for a call. Just a follow-up question on the price recovery potential in Colombia. My question is, what do you see EBITDA margin – or whether you see EBITDA margin recovering once prices recover as well? I mean, could we see for example, mid-20s, is that a possibility? Thank you.
Juan Esteban Calle: Thank you, Alejandra. Our expectation for EBITDA margin in Colombia for 2018 is 22% more or less. It is 27% in cement and 6% in ready-mix. In the midterm, we hope to bring back margins to at least 25% consolidated in Colombia.
Alejandro Lavin: Thanks very much.
Operator: Next question, Angie Rodriguez from Corredores Davivienda.
Angie Rodriguez: Good morning and thanks for your call. I have two questions. The first one is related to profits in the United States, excluding the tax adjustments that you did. Could you give us some color about this figure? And the next one is about adjustments to the effective tax rate in Panama, could you tell what do you expect in this regard?
Juan Esteban Calle: Carlos, our CFO, will answer your questions regarding the tax impairment in the U.S.
Carlos Yusty: Hi, Angie, I assume that you’re asking about the deferred tax act in the U.S. Angie?
Angie Rodriguez: Sorry, could you please repeat it? I didn’t 
Carlos Yusty: No, no. Are you asking about how much is the deferred tax that we have in our statement?
Angie Rodriguez: Which will have injured net profit, excluding the impairment on deferred tax rate.
Carlos Yusty: Okay. No, no. Really, the figure for the impact of the remeasurement of the impairment of the deferred tax assets was $34 million. You just have to add that figure to the minus COP 12 billion, and really, the new figure will be around COP 90 billion.
Angie Rodriguez: Okay. And what do you expect about the adjustment on effective tax rate in Panama?
Carlos Yusty: In Panama, really, we didn’t have any impact.
Angie Rodriguez: No. For 2018, there will be some changes on effective tax rate in Panama.
Carlos Yusty: No, no. In Panama, really, we’re not expecting any change in the effective tax rate. Really, the current rate – tax rate in Panama is 25%, and we are not expecting any fiscal reform for 2018 in Panama.
Angie Rodriguez: Okay.
Juan Esteban Calle: Thank you. Angie.
Carlos Yusty: Thank you. Angie.
Operator: [Foreign Language] Next question, Vanessa Quiroga from Credit Suisse.
Vanessa Quiroga: Yes, thank you. And good morning, and thank you for the call. My question is regarding your view on cement prices in Colombia and because we have seen very recently – we’re talking about a few days or weeks that international freight cost for some type of cargo has been coming down. And could you explain to us how that affects using the import parity in – of cement prices in Colombia? And if that’s an important factor that you consider when setting prices? Thank you.
Juan Esteban Calle: Thank you, Vanessa. We have seen the import parity prices going up. We have seen the big prices in Turkey and Mediterranean basin going up by between $3 and $4, and we have seen freights from the Mediterranean basis to Colombia going up as well. So in reality, import parity prices in Colombia had been increasing since June of last year. So there is no reason why prices in Colombia should continue not going up.
Vanessa Quiroga: Okay. That’s helpful. And do you think that there is a very close relationship between international freight cars, those index like Handymax and similar to the import parity price that you follow?
Juan Esteban Calle: There is indeed. I mean, and we follow import parity prices extremely closely to set our prices. But the good news is the import parity prices have been increasing in Colombia.
Vanessa Quiroga: Okay, understood. And a different question, regarding the generation plants that are on sale, are they all using a coal technology? Or is there a specific technology for each different one?
Juan Esteban Calle: The 30 megawatts that we are selling, and some of them are hydro and one of them is coal-fired. And we expect to close that transaction fairly soon.
Vanessa Quiroga: Okay. Thank you.
Juan Esteban Calle: Thank you very much.
Operator: And there are no further questions at this time. I will turn the call over to the panelist for closing remarks.
Juan Esteban Calle: I would like to thank you for attending our conference call and look forward to our next one for the first quarter of 2018. Have a great day.